Operator: Hello, and thank you for joining the Stewart Information Services First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask question during the question-and-answer session.  Please note, this call is being recorded.  It is now my pleasure to turn today's program over to Mr. Nat Otis, Head of Investor Relations. Sir, please go ahead.
Nat Otis: Great. Thank you. Thank you for joining us today for Stewart's First Quarter 2022 Earnings Conference Call. We will be discussing results of our release yesterday after the close. Joining me today are CEO, Fred Eppinger; and CFO, David Hisey. To listen online, please go to the stewart.com website to access the link for this conference call. I will remind participants that this conference call may contain forward-looking statements that involve a number of risks and uncertainties. Because such statements are based on an expectation of future financial operating results and are not statements of fact, actual results may differ materially from those projected. The risks and uncertainties with forward-looking statements are subject to include, but are not limited to, the risks and other factors detailed in our press release published yesterday evening and in the statement regarding forward-looking information, risk factors and other sections of the company's Form 10-K and other filings with the SEC. Let me now turn the call over to Fred.
Fred Eppinger: Thank you for joining us today for Stewart's First quarter 2022 Earnings Conference Call. David will go over the quarterly financial results in a minute. But before that, I'd like to touch on a little bit of the big picture. Over the past two years, much of the work here at Stewart has centered around initiating and carrying out a structural retooling of the company's operations to position ourselves better on our journey to what we call becoming the premier title service company. The goal has always been to create a sustainable business that would succeed through all types of real estate cycles and economic conditions. We focused on improving margins, growth and our resiliency. We did this by improving our scale, our operational capabilities and our financial discipline. I would add that, during this time, we also focused on enhancing the customer experience through technology investments that have meaningfully changed our ease of use in our agency, lender and direct businesses. I believe the first quarter demonstrates that we have made significant progress on our journey. It was not long ago that Stewart consistently lost money in the first quarter. In 2022, even as the market normalized, we delivered record results. The backdrop of rising interest rates, normal seasonality and uncertainty of the spring selling season is weighing on the start of '22. But this is the market environment we've been preparing for. The expectation has always been that today's market would be different than 2021 and '23 will be different than '22. And we will be prepared for each of these, as we continue our efforts to build a better and more resilient Stewart. I say this for two important reasons. First and foremost, we are confident in our ability to manage in this traditional period and remain bullish on the long-term prospects for the markets we operate in. Second, it is important to understand that just because the market has transitioned, our journey continues. We remain laser-focused on strengthening the foundational tenet of our structural improvement, attaining medical scale in priority markets aided by leading technology support and innovation to help drive superior and consistent service delivery to our customers. We have taken great strides in addressing a lack of scale in various markets over the last couple of years. On the direct side, we have executed more than 20 regional title transactions and added significant bench strength and talent. We have changed market presence in Arizona, Illinois, Michigan, Texas, California, Colorado and Washington to our advantage, just to name a few. In addition, in markets that we determined adequate scale could not be accomplished without excess investment, we simply closed or sold operations often to an agent partner. On the agency side, we've invested in technology and services that provide greater connectivity ease of use and risk reduction for our agent partners. As the industry accelerates, the implementation of online and paperless transactions we are there to help support our agents as they undergo this critical transition. We believe our opportunity to grow scale in our growth markets and improve our shelf space with winning independent agents is just beginning. Why is this so important? Why does -- how the scale of one MSA translate into Stewart becoming the winning title services company and increasing shareholder value? Let me briefly explain. As in all industries, customers are the lifeblood of success and growth, maybe more so in title insurance, as we make our money on each real estate transaction with no recurring revenue stream. Industry volumes vary by quarter given all of the reasons we have just discussed. So delivering great consistent service, while matching resources to revenues in a disciplined way, is the special sauce in our industry. Historically, Stewart has been subscale in many of the key markets, both in direct and from an agency standpoint an inch deep and a mile wide is a phrase I often use. This plays a significant pressure on our local people and operations as we -- as order activity fluctuated. An office of four people acting by themselves can't ramp up quickly enough to take advantage as volumes increase, negatively impacting customer service. Conversely, when order activity wanes, business goes elsewhere because of inconsistent customer service through the cycle, while profitability also dips due to the lack of operational levers to pull. This is why the scale is in our priority MSAs is the building block of our success and why we will continue to opportunistically look for core title acquisitions that match our profile as well as work to add technologies and services that help deepen our agency partnerships and increase share with winning agents in our target markets. We have made great progress over the past few years as we used our MSA market assessments to help guide us and bolster our operations. Clearly, more work needs to be done, but we will continue to grow and enhance our competitive position in each market. Even with the changing market conditions we believe opportunities will continue to arise to build share in our target markets allowing us to profitably grow throughout the cycle. Let me just finish by reiterating my positive long-term view of the real estate market and ability at Stewart to become the premier title services company. I would also like to thank our associates for all their hard work and our customers for their continued support. David, will now update everyone on the results.
David Hisey: Thank you, Fred, and good morning. Let me also thank our associates for their amazing service and our customers for their trusted support. As we enter the traditional home buying season and with the rate at recent increases in 30-year mortgage rates to the 5% area, the residential and commercial real estate markets are moving to more traditional, seasonal and economic influences. Residential real estate markets continue to see demand driven by favorable demographics and the importance of home. Commercial real estate is seeing activity across most asset classes: industrial multifamily office and retail with energy poised to benefit from needed supply and environmental focus. There are several watch items that could impact future business performance including Fed and government policy in action particularly with moderating inflation an uncertain consumer and jobs environment and the impact of global conflict of supply chains particularly food and energy. As Fred noted, we are focused on managing our business in the areas that will have the most meaningful and durable impact on our long-term operating performance, gaining scale and attractive direct markets improving scale and geographic focus in our agency and commercial operations broadening and deepening lender services offerings and throughout our business improving service and digital capabilities to provide seamless end-to-end user experience. For the first quarter, Stewart reported net income of $58 million and diluted earnings per share of $2.11 on total revenues of $853 million. As disclosed in Appendix A of the press release, adjusted net income for the first quarter was $56 million, which was 8% higher compared to last year's quarter. The adjustments to our first quarter net income were primarily related to net unrealized gains on equity securities investments. As mentioned in our press release, we revised the presentation of our operating segments effective in the first quarter to reflect the total segment. The increased size of our real estate solutions operations, which were previously combined with our corporate operations, warrants disclosure as a separate segment. Our Corporate and Other segment includes primarily corporate operations while Title remained substantially unchanged. Total Title revenues for the quarter increased $97 million or 15% compared to last year's quarter, primarily due to improved results from our agency and commercial operations. The segment's pre-tax income improved to $83 million, which was $6 million or 7% higher than last year's quarter. Title pre-tax margin for the first quarter this year was 11.4% compared to 12.2% last year, primarily due to the effect of significant lower refinancing volume and investments we are making in the segment to improve Title production and Title data. With respect to our direct operations, domestic commercial revenues improved $27 million, driven by increased transaction volume across most asset classes and a 47% higher average fee per file of $12,700 for the first quarter of 2022. Domestic residential revenues increased $4 million or 2% due to higher purchase transactions and improved scale offsetting the lower refinancing volume. Residential fee per file for the quarter -- first quarter of 2022 was $2600, which was 37% better than last year's average fee per file due to the higher purchase mix. Total international revenues improved $7 million or 20% compared to last year, primarily due to increased transaction volumes in Canadian operations. Total open and closed orders in the first quarter decreased 26% and 24% respectively, primarily due to the expected lower refinancing transactions consistent with the market trend. This was partially offset by 31% and 4% higher commercial and purchase closed transactions in this year's first quarter versus last year's quarter. Our agency operations had another strong quarter, generating revenues of $404 million, which is 17% higher than last year. The average agency remittance rate slightly improved to 18.1%, compared to 17.1% in last year's quarter. On title losses, total title loss expense for the first quarter was comparable to last year's quarter as the effect of higher title revenues was offset by overall favorable claims experience. As a percent of title revenues, the title loss expense in the first quarter was 4% compared to 4.6% in the first quarter last year. In regard to operating expenses which consist of employee and other operating costs, total operating expenses increased mainly due to the increased variable costs related to revenue and higher employee count. Employee costs as a percentage of operating revenues improved to 24% from 25% last year, while other operating expenses increased to 22% from 18% last year, primarily because of the increased size of our real estate solutions operations which typically have higher other operating expenses. On other matters, our financial position provides a solid foundation to support our customers, employees in the real estate market, our total cash and investments on the balance sheet are approximately $560 million of regulatory requirements. We have a fully available $200 million line of credit facility. At the end of the quarter, stockholders' equity attributable to Stewart was approximately $1.312 billion. Our book value per share was approximately $49, an increase of 2% from December 31 2021. Lastly net cash provided by operations for the quarter was $35 million compared to $47 million from last year's quarter, primarily due to higher payment of operating liabilities outstanding at the end of December, partially offset by the higher net income in the quarter. We are always grateful for inspire of our customers and associates. We advocate for everyone's improved safety and prosperity and are confident in our support of real estate markets. I'll now turn the call back over to the operator for questions.
Operator:  And our first question will come from Bose George with KBW.
Bose George: Hey everyone. Good morning. Actually first, I just wanted to ask in terms of the acquisitions that have closed recently, is the accretion from them all now fully reflected in the numbers this quarter, or is there sort of more that we should think about as we model?
David Hisey: Yeah. Well, we did close a lot as David stated here. We did close a lot in the fourth quarter. So I think we're still seeing the full effect of those come online. And then, we still have our integrations and finishing on the acquisition accounting. So, I think it's fair that there's still some movement coming this year. We obviously did such a big amount in the fourth quarter.
Bose George: Okay. And in terms of the movement we should -- I mean, see there's some level of accretion still to in terms of more revenues and expenses still coming on.
David Hisey: Right, I mean we don't have like a number of them closed during the quarter as an example. So we don't have even a full quarter of activity for some of them.
Bose George: Yeah.
David Hisey: Yeah.
Bose George: Okay, okay, great. And so then, actually the release mentioned the real estate brokerage acquisition which was subsequently sold. Was that something that you guys had mentioned before? I just don't recall that.
David Hisey: No. So I don't think we mentioned it. I mean, this was just an opportunity to facilitate a transaction for an owner of a title agency and that's what we did. So we haven't really mentioned that before.
Bose George: Okay. Great, makes sense. Thanks. And then just one more, can you just talk about commercial and purchase trends in the quarter -- in second on the second quarter rather?
David Hisey: Yeah. I mean, I think we're seeing the effects of what most people are seeing in commercial right as the economy opened over the last year. You've really started to see improvement across all the asset classes. I think some of the industry information real capital analytics put out a report that first quarter sales activity was quite high across the asset classes. And we're seeing that pretty much throughout the assets and the country. You even have New York opening up a bit now as well.
Fred Eppinger: Yeah, it's been broad-based most for us on the commercial side. And we -- I think we've mentioned this at previous calls, as we look forward we're pretty bullish, on commercial.
Bose George: Okay. That's great. Thanks a lot.
Fred Eppinger: Great. Thanks.
Operator: Thank you.  And our next question comes from Geoffrey Dunn with Dowling & Partners.
Fred Eppinger: Good morning.
Geoffrey Dunn: Good morning. Fred, obviously you've done -- I think you said 20 regional acquisitions. Can you give an example of how improved scale in MSA has shifted profitability in a certain location like in Illinois you've done a couple?
Fred Eppinger: Yeah.
Geoffrey Dunn: How is -- can you give an example of how -- obviously it's hard to model individual deals but they aggregate -- so can you give us just some numbers around …
Fred Eppinger: Yeah…
Geoffrey Dunn: …sale building does for you?
Fred Eppinger: Yeah. So again what a great example, Southern Colorado, Colorado Springs, we're -- we were a small operation we probably had on a marginal contribution say we were in the 5% 6% range. And what would happen is, we get crushed during the first quarter because of the seasonality we didn't have enough volume. And we couldn't adjust any of the resources there plus we would be the one in town where people would pick off talent because we didn't have, kind of, the breadth of operation. Now we're probably the leader on the purchase market in Colorado Springs and the stability that comes with that is tremendous. So we're kind of -- our retention of people went up. Our margin because of our ability to actually manage the business in the cycle through the four quarters went up. Our ability to actually think about things like centralization and operational enhancements on how we manage the business has improved. And so that business -- it flips from an underperforming one to kind of a superior performing one and with more consistency quarter-to-quarter. And again once you do that once you get to scale you can also then do fill-in acquisitions in micro geographies and instantly have an accretive position from doing that. Same with kind of your data access right your data access is more cost effective because you have more volume and things like starters are easier to access because you have a broader reach in the marketplace and more data. So again, it's like -- I talk about like retail banking. If you -- in retail banking if you get a certain percent of deposits in the local market your margins just fundamentally change. In title, it's the same way. You get up to that 10% share in a market, for us it changes both the stability of the margins and our ability to kind of grow from that platform. And then -- so much of this is what I talk about consistent service because again if you're trying to manage the cyclicality in our business it's really hard by doing it in a four-person office right? You can't affect the downside and manage the downside. If you have 40 people that's a very different ability to manage. So we've looked at every MSA 180 or so we think about and say, who are the leaders? How do we reposition ourselves? Where are the best segments to compete in? Some we do both agency and direct, some we primarily do one or the other. But then you look at what is the best structural position you can be in that market and that's what we've tried to do. So this is -- this is an ad hoc, right? I mean you can't always get the resources you need. But when you can it's targeted right of what -- how we try to do it. So again it's -- we've done a lot of it. I would also say that again it's different among us is there was a lot of operational and just blocking and tackling things we did organically right? We manage ourselves a little bit differently and more effectively whether it's on search costs or how we manage operations or how we manage data or how we do integrations. So it's the combination of the scale stuff we've done and the operational improvements for the company. But I feel like we've made good progress. I mean I wouldn't say we're all the way where we could be. I think we have more growth, but we make good progress. 
Geoffrey Dunn: Okay. And then just a follow-up on M&A. I think up till even a month or two ago we were hearing that companies were still trying to sell themselves off of 2021 results. Are you seeing more sellers come into the market right now and more rational valuations, or is it still in a transition period and potential sellers hanging on to 2021 type of expectations? 
Fred Eppinger: Yes. I think it's a mix of all. But people understand the market is different and have adjusted. I mean for the most part it has adjusted. And one of the things that drove the prior market was some of these new entrants that were trying to create revenue that bought a lot of these refi shops that create and it kind of clouded valuations a little bit because they were silly at some level not the big players not the more traditional players, but there were some others. All of that stuff is out of the system, right? And there was some financial buyers because of how attracted the market -- and that's out of the system. So what you have there in my view is a more rational conversation. Now the good operations are still -- depending on your margin you work different things based on how well you run et cetera. And there are some that still have inflated use of value. And so transactions don't happen. But my view is realism of where we are is absolutely started is in the market. And so again for us it's different. This is not something you just do for a quarter. This is -- a lot of the transactions that occur now is stuff that we started talking to two years ago. I mean this is about really building relationships and understanding what the opportunities are and being focused on the right match and the right people. So I'd like to your point, it's a good question. I think the valuations will be appropriate, right?
Geoffrey Dunn: All right. Thanks, Fred.
Fred Eppinger: Yes. Thank you.
Operator: Thank you. Our next question comes from John Campbell with Stephens. 
Fred Eppinger: Good morning, John.
A.J. Hayes: Good morning. This is A.J. Hayes stepping in for John today.
Fred Eppinger: Hi, A.J.
A.J. Hayes: Hey, guys. A quick question here. I know you guys are definitely still got an appetite for M&A, but with the stock pullback I think you guys are also getting a pretty good price to buy some of the company here. So how are you thinking about the balance of the two during this current environment here?
Fred Eppinger: Yes. For us the best use of our capital continues to be to build our business in my view and that's kind of what we're focused on. We've obviously, been -- we did a dividend increase and we'll try to be thoughtful for our shareholders to make sure we're providing that as well. But right now, our focus has been continuing to build our business. And as you know every transaction we've done essentially in the title space has been accretive and been helpful. And so that's kind of been our focus and will continue to be a focus here in the short to medium term.
A.J. Hayes: Okay. And then one follow-up here. It's been a while since we've dug in on this. And obviously I'm guessing things might have changed a bit with a series of recent acquisitions but -- can you guys provide the latest high-level rundown on your cost base and specifically fixed versus variable costs for salaries and other operating expenses? And then just bigger picture, how do you think about protecting margins against a decline in overall originations? 
Fred Eppinger: Yes. Let me take -- let me take the second one. Again in the last 2.5 years we've taken a lot of actions. I mean we started this journey we were a 4%  right? So we are thoughtful about managing our resources during the cycle and what we need to do to manage our business. And we're confident that we will have improved -- we'll sustain our improved margins in the business and we'll manage ourselves thoughtfully through the cycle. And we did it in the first quarter. We've done it for the last 2.5 years and we'll continue to do it.  As far as -- and I'll have David comment on some of your other questions, we feel very good about how we've been managing our overall expenses and our investments. But I also want to remind folks. We're not going to stop investing in our business. We are on a journey to be the best. We've got some really interesting things we're doing right now, on product enhancements, on integrations, on data management that are enhancing both our effectiveness as a business and our cost position in the future. But -- so we're balancing both current investments and our operations I think like we've always done. But it's -- again from my mind, you just have to manage your business and manage resources as you see the business unfold. I want to make one of the points -- our view is -- it's choppy right now, right? There's no question. But when we look out and look at demographics and look at all the trends and we look at all the forecast, I think the next two years are still going to be very good years for title. I talked about the purchase levels et cetera. So we believe that there was still a relatively strong market position for the next couple of years, but we -- it is obviously choppy now and we've got to make sure we manage ourselves effectively. But David is there any comments on... 
David Hisey: Yes. I think the general comment is that although we're sensitive to fixed and variable, we really run each business the way it needs to be run and the fixed versus variable component varies a lot by business. So for example in the real estate services businesses, solution businesses, you've got a lot of outside data and other information that's highly variable against a very small employee base whereas you've got over in sort of the direct title operations because of the facilities and the scale geographic reach and the like it's a little bit more fixed, right? So each of the businesses is run consistent with the revenues and the cost structure of those businesses to produce the results that we've shown. I think as a general matter, we probably have somewhere in the 30-plus percent fixed and you've got some variable. But a lot of our expenses probably a good 60% -- 50% 60% are variable right because they're all transactional you've got bonuses premiums taxes, different things like that data as we talked about. So I think that's how we generally think about it.
A.J. Hayes: Awesome. Thanks so much, guys.
David Hisey: Thank you.
Operator: Thank you. Our next question comes from Ryan Gilbert with BTIG. 
Fred Eppinger: Hi, good morning, Ryan.
Ryan Gilbert: Hi. Good morning. and thanks for taking my questions. I wanted to go back to the question on 2Q trends and I guess also your comment around the market being choppy right now. And maybe you could just drill in on how purchase and refi volumes in the residential market has trended in April. I think the big question outstanding right now for investors, is the extent to which higher mortgage rates are going to ding homebuyer demand. And it doesn't seem like that's shown up in your numbers yet in 1Q 2022 with purchase volume up 4% year-over-year, but I think any color on how 2Q is trending so far would be really helpful. 
David Hisey: Yes. Hi, Ryan. It's David here. So I think in general you've had a recent in the last let's just say several weeks  the 30-year mortgage rate to over 5%. So that's definitely had a bit of an impact even on the purchase market. Yes I think we're still seeing pretty good activity but it's still somewhat transitional. I guess the other thing I would note is that -- and you can see it in the most recent MBA  application data less than 10% of all applications are arms. And there's still probably a good 100 basis point spread in the 4% area on a 7 or 10 one arm, which is a pretty good purchase product. So I think it's early. There's been a little bit of a negative impact, but I think the market's still transitional. And I think the other important thing which I don't think investors really ever focus on is we're more sensitive to title premium, not unit volume, right? And so if you think about what are the components of title premium there, it's really the notional value of the transaction and then the total transaction volume. And so if you look at it on that basis, even though you have units coming down, you have total notional balance holding to rising because of increases in home prices, which creates a pretty good title premium environment.
Ryan Gilbert: Yeah. That's.
Fred Eppinger: Yeah. Go ahead. I'm sorry.
Ryan Gilbert: I was -- yeah I was just going to follow-up on the revenue per order, up significantly in 1Q 2022 and I think the comps get a little harder as we move into the rest of the year. So how should we think about your growth rate in revenue per order? I think even on a mix-adjusted basis, it's up in the mid-20s?
David Hisey: Yeah. I mean, we could probably see a little bit more, Ryan because we started to see the mix significantly shift in the first quarter to be more predominantly purchase. So as you go to almost 100 -- call it 50-plus percent purchase right there's still a little bit of room to go on fee per file. But we probably don't have anywhere near as much as we saw over the last year, but there could be some additional room on fee per file.
Ryan Gilbert: Okay. Great. Last one for me. I think generally, we see a sequential improvement in pre-tax margin as we roll into 2Q from 1Q. Do you still think like -- feel like that's going to be the case this year? And how do you feel about your double-digit pre-tax margin goal in 2022 given the increased choppiness we've seen in the market?
Fred Eppinger: Yeah. I think the goal is the same. I think we're trying to manage ourselves to that double-digit goal through the year. I think it's early in the quarter to know exactly where it's going to unfold. But the trends that David said are -- that's what we're seeing and we feel pretty good about our ability to manage through this so.
Ryan Gilbert: Okay. Thanks very much.
Fred Eppinger: Thank you.
Operator: Thank you. Our last question will come from Geoffrey Dunn with Dowling & Partners.
Geoffrey Dunn: Thanks. I just wanted to follow-up with respect to again building scale and M&A. Your agency commission ratio about 82% stands out versus some of the other peers. And I'm curious, if that comes into the thought process in terms of improving overall agency profitability? And is there M&A opportunity to reduce that, or is that not the right way to be judging kind of the overall agency platforms profitability?
Fred Eppinger: Yeah. So again, we are very happy with our net margins in agency. That's for us with a well-run business, but that you're absolutely right. Our geographic mix is very unique at Stewart. It's why we're so focused. If you think about all our major competitors, they have significant, significant share in a state like Florida, right where the splits are much more attractive. We are a nobody there. So as a lot of the scale that we're building is about state-specific growth right and share. And so a lot of that is getting the right mix. And so, you'll hear me talk a lot about Georgia and Florida and Pennsylvania because of the -- both our percentage of share, but also the overall profitability in those locations. And a lot of that split number is because our major competitors have big, big positions in Florida just math. But I would tell you from a net point of view, we run the agency business very well. I'm very happy with our margins and how we've managed the business. But we are working on growth in our state mix because we do think there's some opportunity there. You can just tell, but our state mix. And the other thing you guys don't know but it's -- when we talk about seasonality it is so much more dramatic. Why I'm so happy with the way we're managing ourselves in the first quarter is, our seasonality is more dramatic than the other bigger players. Why? Because we're not really in California or Florida in a significant way, we are the smallest player by a mile in those two places. So just think about the weather where we are, which is the Northeast Midwest. And so the upside for us on so many dimensions is to continue to grow share in the MSAs in the California and Florida, right? So again, we have good upside, but it demonstrates we've been managing ourselves pretty well with our mix. But that's -- your split point is a great example of how they just -- the numbers are different because of our geographic spread.
Geoffrey Dunn: All right. That's helpful. Thank you.
Fred Eppinger: Thank you.
Operator: Thank you. At this time, I would like to turn the floor back over to Mr. Otis and the presenters for any additional or closing remarks.
Fred Eppinger: I'd like to -- this is Fred. Thank you so much for everybody's attention and thank you for joining us on this quarter's earnings call. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference and we appreciate your participation. You may disconnect at any time.